Operator: Good morning, and welcome to the Xerox Corporation First Quarter 2015 Earnings Release Conference Call hosted by Ursula Burns, Chairman of the Board and Chief Executive Officer. She is joined by Kathy Mikells, Executive Vice President and Chief Financial Officer. During this call, Xerox executives will refer to slides that are available on the web at www.xerox.com/investor. At the request of Xerox Corporation, today's conference call is being recorded. Other recording and/or rebroadcasting of this call are prohibited without the expressed permission of Xerox. After the presentation, there will be a question-and-answer session. During this conference call, Xerox executives will make comments that contain forward-looking statements, which, by their nature, address matters that are in the future and are uncertain. Actual future financial results may be materially different than those expressed herein. Ms. Burns, you may begin the call.
Ursula M. Burns - Chairman & Chief Executive Officer: Good morning, and thanks for joining our call. Today, we reported our first quarter results and provided full year guidance lowering expectations. I'll start with a brief reminder of our direction and then provide an overview of our Q1 performance. Kathy will review the financials and then we'll take your questions. Our diversified portfolio, strong Annuity business and solid free cash flow enabled us to participate and invest in the attractive markets that will drive growth. Services represents 56% of our total revenue and we expect that proportion to continue to grow. We are the leader in diversified business process services and we are maintaining leadership in Document Technology. Over the last few years, we have taken significant steps to lay the foundation for sustainable, long-term success. We are differentiating ourselves by incorporating greater automation and intelligence in our solutions and products, all with the goal of helping our clients better manage their critical business processes. As an example, we recently launched the Midas+ readmission forecaster, an advanced analytics healthcare solution to help hospitals drive quality improvement around patient care and reduce Medicare penalties for excess hospital readmissions. Additionally, we introduced our new mobility analytics platform which makes it significantly easier for transport and parking operators to understand and even predict commuter needs. VINCI Park, the world's leading parking space provider, is testing the system in a town in the suburbs of Paris. Within Document Technology, we retained our number one position in equipment revenue market share for the 21st straight quarter, and we launched eight new products plus workflow solutions, reinforcing our leadership in mobile printing, inkjet technology, and digital color. Lastly, our solid balance sheet and strong free cash flow along with the proceeds from the pending ITO divestiture will enable us to continue to deliver strong shareholder returns. We have returned more than 50% of free cash flow to shareholders over the last four years and plan to do the same this year by repurchasing up to $1 billion in shares and returning approximately $300 million to shareholders in dividends. At the same time, we will continue to invest in our business organically and through acquisitions. Now let's look at our performance in the quarter. In the first quarter, we reported total revenue of $4.5 billion, down 6%, 2% in constant currency. And we delivered adjusted earnings per share of $0.21. Earnings were in line with our guidance, but the performance of our Services business was below our expectations, principally because of implementation issues in certain legacy Health Enterprise platform accounts. It's important to note that many areas of our Services business performed quite well in the quarter, this includes Document Outsourcing and several of our commercial vertical industry groups. We continue to perform well in Commercial Healthcare. As many of you may have seen, we finalized the New York Medicaid contract that we were awarded last year. We have invested in advance to ensure our good start, and we look forward to working with the state to serve their Medicaid population. That said, in Services, we have more work to do to improve our financial performance. We continue to align our go-to-market resources along vertical industries, and we're investing in sales coverage and training. At the same time, we're focused on driving more consistent delivery and capturing efficiencies through our new operating model. And specifically within our Health Enterprise accounts, we have taken action to address the issues. We continue to add expertise in the most critical areas of this business. Our operating performance and delivery quality continue to improve, and I'm confident in the Services and Healthcare teams. Kathy will go into more detail on the financials in a moment. And we can have additional discussion during the Q&A. Our Document Technology results, which included the increased impact from foreign currency, largely met our expectations. It continues to be a business where we generate strong profits and cash. In quarter one, we delivered shareholder value by repurchasing shares, supporting our dividend program, and acquiring Intrepid Learning Systems (sic) [Intrepid Learning Solutions] to enhance our services capabilities. Now, I'll turn it over to Kathy, who will provide more details on the quarter and cover guidance.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Thanks, Ursula, and good morning, everyone. We delivered Q1 EPS in the middle of our range with solid cash flow of $113 million. However, as Ursula mentioned, the quarter was challenging in many respects. Some challenges have been contemplated such as negative currency impacts, higher pension expense, and, in Services, the timing of investments relative to improved productivities from our global capabilities. However, we failed to accurately call the incremental financial pressure we're experiencing in our Government Healthcare business from the rollout of our Health Enterprise Medicaid platform. Our delivery quality and operating performance continue to improve, but the financials were a clear signal that we have more work ahead. I'll take you through more details on that when I cover the Services segment, but first let me walk you through the total company results for the quarter. Total revenue in the quarter was down 6% at actual currency and 2% at constant currency as growth in Services was offset by declines in Document Technology. The negative currency impact of 4 points in the quarter was at the high end of our expectations and reflected the continued strengthening of the dollar within the quarter. Gross margin of 31.2% was down 30 basis points year-over-year driven by Services. RD&E was modestly lower year-over-year, driven by reductions in Document Technology. SAG in absolute dollar terms was lower year-over-year, driven by currency. However, as a percent of revenue, SAG was up 70 basis points year-over-year to 20.5% as productivity benefits were more than offset by higher pension expense and the investments in Services. As a result, our first quarter operating margin decreased 110 basis points year-over-year and operating profit declined 18% with the largest drivers being pension expense, the financial pressure from our Health Enterprise implementations and currency. Moving down the income statement, adjusted other net expense was $5 million lower year-over-year. Within that, lower gains on sales of assets and higher currency losses were offset by lower restructuring costs and lower interest expense. Equity income was $34 million in the quarter, down $8 million year-over-year, driven by the impact of negative translation currency. Our Q1 adjusted tax rate of 24.5% was at the low end of our range and up 4 percentage points year-over-year. Adjusted EPS of $0.21 was at the midpoint of our guidance and $0.05 lower year-over-year, driven by the operating profit decline. I'll now move to Services segment to review those results in a little more detail. Services revenue declined 3% and was up 1% at constant currency, which was a bit shy of where we expected to come in. Document Outsourcing constant currency growth up 2% was in line with our expectation. BPO growth up 1% at constant currency was a bit light of what we were targeting, with the Health Enterprise platform implementations producing less revenue than we had anticipated. We continue to see good BPO growth in Commercial Healthcare and other commercial industry verticals. We anticipate our revenue growth rate will improve in the second half as we lap the impact of last year's larger contract losses and begin to ramp the New York Medicaid and Florida Tolling deals. M&A also remains a variable factor to growth depending on timing of acquisitions. Our renewal rate in the quarter was 91%, evidence that overall we're delivering well for our clients. I should note that we are now including Document Outsourcing in our renewal rate in addition to BPO. Overall, it was a really strong renewal quarter. Total signings in the quarter were down 13%, driven by both lower new business signings and lower renewal opportunities. New business signings declined 26% year-over-year. We mentioned on our last call that we've aligned our sales force to specific industry verticals. We recently moved our Document Outsourcing sales force into the same structure to better enable cross-selling opportunities. We are continuing to invest in increased sales coverage and training, which takes time to yield results and should positively impact new business signings as we move through 2015. Additionally, our signings did not include the New York Medicaid contract, which was finalized after the end of the quarter; and the new Florida Tolling contract which is still pending. These new signings will reverse the downward signings trend this quarter. Turning to margin, segment margin was 7.5% in the quarter, which was down 110 basis points year-over-year and well below our objective of modest year-over-year improvement. As referenced earlier, the driver of the Services margin miss was lower revenue and more costs than anticipated with our Health Enterprise platform implementation. California had the largest impact on our results in the quarter. We successfully implemented the first phase at the end of last year, however, recent estimates to deliver the remaining phases are higher. We also had start-up costs in New York with no revenue offset as the contract didn't get finalized until April. Margin excluding those impacts would have been up 10 basis points year-over-year, so a very modest improvement. We saw margin improvements in a number of lines of business including Document Outsourcing as well as some of our commercial verticals. At the same time, we're continuing to invest in our industry and capability operating model, sales coverage and training as well as some new offerings, which Ursula discussed. As we move through the year, we expect to see our investments mature and produce more value. We should also see further productivity gains as we rollout our initiatives across our operating groups. Before moving on, I'm going to take a minute to further discuss the financial challenges we're facing in our Health Enterprise implementation. With the exception of the New York Medicaid contract, these deals were signed before we finished development of the core software platform. We had delayed finishing the new platform and meeting client delivery dates resulting in cost increases. In the case of California, as the new project plan was built out further, we recognized that the cost to complete the entire program would increase, which triggered an adjustment in the quarter. In contrast, New York was bid after the Health Enterprise platform was completed and we've been investing ahead to position us for a strong start. Operationally, the platform is performing well in the states where it's been rolled out and we're progressing on the implementations in other states. However, we have more work ahead to turnaround the financial performance. We're taking a number of additional actions to improve the picture and have adjusted our expectations to reflect what we believe is required to meet our customer commitment. This is the main driver of our revised Services margin guidance, which I'll get to more detail when I review guidance in a few minutes. Now I'm going to turn to Document Technology. Document Technology revenue in the quarter was largely in line with our guidance with adverse currency coming in at the high-end of our expectations. On a constant currency basis, revenue was down 6% which was consistent with last year's rate of decline. Currency was a 4 point drag on revenue with revenue at actual currency down 10%. While we don't typically include developing markets in our constant currency calculation, we are impacted when currencies devalue quickly. In the first quarter, revenue at constant currency would have been down 5% if we excluded the impact of currency on developing markets. Relative to our performance in the fourth quarter, we saw some moderation of equipment revenue declines at constant currency as we began to see some benefits from the second half 2014 new product launches. Offsetting this were modestly-worse Annuity revenue declines driven by supplies revenue declines in the Entry segment. Looking at Entry, it continues to be impacted by economic weakness and uncertainty in developing markets, especially Eurasia and Brazil. We anticipate some improvement in the rate of declines as benefit from new products grow but, overall, we continue to expect economic headwinds to weigh on Entry. Mid-range mono and color activity were relatively flat year-over-year and overall mid-range results showed improvement. High-end continues to show good Annuity revenue performance, although equipment was weaker in the quarter driven by the timing of new product launches as well as a couple of deals slipping into the second quarter. Document Technology margins were down 110 basis points with almost the entire decline driven by higher pension expense. As previously discussed, the higher pension expense this year is a function of higher pension settlement given lower discount rates as well as last year's mortality table change. So overall, core Document Tech business performance continues to be strong and we're focused on improving top line by capitalizing on our growth opportunities in the market. Before I go through the cash flow, I'd like to remind everyone that while our ITO results are included in discontinued operations pending the sale to Atos, ITO is still in our operating cash flow until we close the transaction. ITO was a use of $13 million in the quarter and a use of $32 million in free cash flow. Overall, cash flow from operations was $113 million in the quarter, solidly positive and reflecting the progress that we've made smoothing working capital impacts over the past couple of years. A couple of highlights to note within operating cash flow. The add-back for depreciation is lower than last year by about $50 million and reflects in part the write-down of the carrying value of the ITO assets to fair value now that it's being held for sale. Working capital is a use of cash which is consistent with our normal seasonality and largely consistent with 2014. Inventory was a larger use this year, reflecting a higher level of in-transit inventory and timing of sales. Additionally, accounts receivable was a higher use this year, primarily due to the strong fourth quarter collections, particularly in Services. Moving down the cash flow statement. Investing cash flows were a $98 million use, including $95 million spent on CapEx in the quarter and $28 million on acquisition. Cash flow from financing was a use of $485 million, which included net debt payments of approximately $150 million, $216 million spent on share repurchases, and $76 million used for preferred and common stock dividends. Now I'm going to quickly go over our capital structure. We ended the first quarter with $7.6 billion in debt. During the quarter, we retired $1 billion in senior notes and issued $400 million in five year notes with a coupon of 2.75% and $250 million in 20 year notes with a coupon of 4.8%. Applying 7-to-1 leverage on customer financing assets, our allocated financing debt at the end of the first quarter was $3.9 billion, leaving core debt of $3.7 billion. We manage our core debt to maintain credit metrics consistent with our investment grade rating. So our capital structure remains pretty stable. If we go onto the next slide, I'll review where we're at in terms of capital allocation. Our capital allocation plans for the year are unchanged and, as previously communicated, incorporates the redeployment of the expected net proceeds of roughly $850 million from the ITO sale which should close later this quarter. On share repurchases, we spent $216 million in the quarter and continued to plan to spend about $1 billion for purchasing stock this year. We continue to view our shares as attractively priced and a good investment. On acquisitions, we closed one acquisition in the quarter, Intrepid Learning Systems (sic) [Intrepid Learning Solutions] for $28 million. We continue to look to spend up to $900 million in 2015 and plan to rollover any unspent funds into 2016. Acquisitions are a priority for us as we believe it's an important element of our portfolio management strategy to evolve our portfolio to higher value services as well as supporting BPO expansion internationally. We're very disciplined in our approach. Our pipeline is strong, and we've actively considered more deals year-to-date than last year. We're working to further build our business development capabilities so we can be more acquisitive and expand our pipeline of potential targets. Now onto debt. We have one more tranche of debt coming due this year, $250 million in June. We expect debt to temporarily decline in conjunction with the receipt of the ITO proceeds and plan to complete additional refinancing activity as needed in the second half. We continue to expect to end the year at roughly $7.7 billion in debt. And finally, on dividends, we spent just under $300 million, which contemplates the recent 12% dividend increase we announced on our last earnings call. Before I turn it back to Ursula, I'd like to summarize our expectations for the second quarter and for the full year. For the second quarter, we expect adjusted EPS in the range of $0.21 to $0.23, with constant currency revenue down about 2 points and currency pressuring top line by another 5 points, reflecting the dollar strengthening a bit from the first quarter. For Document Technology revenue, we expect the constant currency rate of decline to modestly improve from the first quarter with a negative currency impact of 5 points to 6 points. Margin should be within our 11% to 13% range for the year, up sequentially but down year-over-year driven by the increased pension cost and currency. For Services, we expect the second quarter year-over-year revenue growth to be roughly flat at constant currency, with a negative currency impact of 4 points to 5 points. Slow growth reflects softer signings as well as the timing of new contract ramp versus lost contract runoff and slower acquisition activity. We anticipate second quarter margins will be approximately flat sequentially, reflecting period compare headwinds in Document Outsourcing, continued higher cost to implement our Health Enterprise platforms, and incremental investments not yet fully offset by productivity gains. Document Outsourcing margins continue to be strong with normal year-over-year compares in the second half. For the full year, at constant currency, we expect Services revenue will now be at the low-end of the 2% to 4% range, no change to Document Technology with revenue expected to decline 4% to 5% and total company revenue now expected to be down about a point year-over-year. We expect currency will have a negative 4 point impact to total revenue for the year. We're maintaining our Document Technology margin expectations but reducing our Services margin guidance to 8.5% to 9% due to higher costs within our Health Enterprise implementation and not as much net benefit from enhanced productivity relative to investments. In total, we expect this to yield adjusted EPS of $0.95 to $1.01. To conclude, while we are disappointed with the guidance revision, we are making decisions to the long-term to ensure that we're taking the necessary actions to drive sustainable growth and margin improvement in the future. With that, I'll hand it back over to you, Ursula.
Ursula M. Burns - Chairman & Chief Executive Officer: Thanks, Kathy. I want to get to your questions so I'll summarize quickly. Although earnings met expectations, it was a challenging quarter. As Kathy detailed a moment ago, we are lowering our full year guidance. We know we have work to do to achieve sustainable long-term success. I'm confident in our business strategy, our strong portfolio, and our ability to succeed in the many industries that we serve. Going forward, in Services, we are focused on revenue and margin expansion. Improved signings and executing on our new operating model will help us there. Document Technology continues to execute well and we remain focused on leading in the most attractive segments of the market. Overall, we anticipate positive results from the changes that we've made and I'm certain that the actions that we're taking today will ensure a healthy Xerox for tomorrow and beyond. So thank you for listening and now I'll turn it over to Leslie.
Leslie F. Varon - Vice President-Finance & Controller: Thanks, Ursula. Joining Ursula and Kathy today is Bob Zapfel, Head of our Services business. Also let me point out we that have several supplemental slides at the end of our deck. They provide more financial detail to support today's presentation and complement our prepared remarks. For the Q&A, I'd ask participants to limit follow-on and multi-part questions so we can get to everyone. At the end of our Q&A session, I'll turn it back to Ursula for closing comments. Operator, please open the line for questions now.
Operator: Thank you. Our first question comes from the line of Bill Shope from Goldman Sachs.
William Charles Shope - Goldman Sachs & Co.: Okay, great. Thank you. I have a question on the Services segment in general. The volatility and the unexpected shortfalls we've seen on Services margins has obviously been a problem for some time now for, different reasons for different quarters. But I guess when we look at this quarter specifically and the cost overruns for the California case, what safeguards are being put in place to ensure that we don't see this happen again with other contracts that maybe we can't see from the outside? And why aren't we seeing more substantial restructuring to deal with what appears to be a pretty uncertain margin path of this business overall?
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Okay. Bill, it's Bob. Let me start. So relative to – actions relative to our Enterprise platform with Government Healthcare, we are taking a number of actions to try to drive improved visibility and predictability there. We're increasing the leadership focus and we've added additional external talent. These are five accounts. So this is not across our broad portfolio. This is the implementation of a new system and in the five states we talked about at the investor conference, we've added project management oversight in each of these projects to try to drive better predictability. We're working to consolidate the customized instances into a standardized platform that would then be less costly to implement and manage going forward. We're lining up additional partners to help us with software development integration capability and trying to better leverage low cost resources for platform development. And we're pursuing add-on work with a number of these clients to give us some incremental revenue. Relative to your question on restructuring, we were down 2,000 people from the end of the fourth quarter to the end of the first quarter in our Services business overall. So we're just trying to manage to drive improved productivity broadly across our Services portfolio.
William Charles Shope - Goldman Sachs & Co.: If I could just add onto that, when we look at sort of the metrics you're judging this stabilization by, I mean is this something that you expect by the time we get to 2016 we're back on track? Obviously, we saw your full-year margin guidance, so we get some color on the path you're looking at for this year. But sort of what are you sort of putting in front of you as targets to get back on track and show that some of these safeguards are actually bearing fruit?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: So overall, in terms of some of the incremental actions that we're taking to make sure that we've fully considered what's going to be needed, we've obviously made more room in our margin guidance. So Health Enterprise costs generally expected to also be a year-over-year headwind for us in the second quarter. We've added additional, both financial management resources and expanded the financial teams in this area that sit over the accounts, specifically in California, which is where we had the big adjustment for the quarter. As we look out to 2016, the most important influence is getting more and more of these implementations under our belt, right? So Bob mentioned, we have five accounts, two have already been implemented, another one will be implemented next year. So getting these implementations under our belt where the contracts were signed, three plus years ago is what we really need to get behind us. And you can see that we've taken big adjustments on California to really reflect the expectation of higher go-forward costs.
William Charles Shope - Goldman Sachs & Co.: Okay. That's it for me. Thank you.
Operator: Thank you. Our next question comes from the line of Shannon Cross from Cross Research.
Shannon S. Cross - Cross Research LLC: Thank you very much. I have another Services oriented question. Bob, sort of taking a step back because in the last question you discussed a lot on the healthcare side. Can you talk a bit about what you're seeing in the other parts of the business, and how you're sort of thinking about some of those areas in terms of growth and margin opportunity once we sort of get through this healthcare issue? And then I have a question on acquisitions. Thanks.
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Thanks, Shannon. Yes, I would say, as you and others have got good visibility to, we've moved to this new industry go-to-market and global capability model. And I would say that early indications are very positive on both elements of that. So we're finding – the pipeline data doesn't look great quarter-to-quarter, but we found that from January, February, March, we had an improved pipeline as we put new resources in place. We bolstered up the sales team that we think will drive to improvements in our second-half results. In the global capability model, if you think back to our kind of margin improvement track, we think we're going get very good yield out of that. So overall, I would say that we've got positive signs relative to the model in general. And the customer feedback has largely been favorable.
Shannon S. Cross - Cross Research LLC: Okay. And then can you talk a bit about – I'm not sure who wants to take it, but from an acquisition standpoint, $900 million, you've talked about you made a very small acquisition during the first quarter. What kind of acquisitions, sort of what size, I mean is this something where we can actually assume it will get done this year because I know you're talking about pushing cash now into 2016. I'm just looking at with the stock down double-digits right now, perhaps share repurchase might be a better use of cash? Or just how are you sort of thinking about cash as we go forward here? Thank you.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Okay. So this is Kathy. Overall, if you look at our activity kind of year-over-year, I would describe us as having more activity this year than last year. Now, activity doesn't always immediately translate into getting things done. But that activity has been more focused on, I think, what I described on our last call, as chunkier-sized deals, right? So we are looking to not just do the deal size of the one deal that we did this quarter, but looking at things that are a little larger which can make more of a difference for us. We're targeting specific areas. I mean, when you look across our portfolio, we've got a great business in Commercial Healthcare. There are places we'd like to continue to build out that business. Transportation is an area of target for us. We've talked about the continued move into workflow within our Document Outsourcing group; so that's an area. And then as we look to continue to expand internationally, we do need a bigger footprint and acquisitions can help us in that space as well. So they're, as you can imagine, tough to call, it's tough to call in which quarter are we actually going land things. But we're certainly generating more activity and looking to do larger deals. And then in the second part of your question, so what about share repurchases, we are committed to doing about $1 billion of share repurchases this year. We know M&A timing is hard to call. It's important for us as we continue to look at evolving our portfolio. And so if we don't spend the $900 million, we will roll it over into next year.
Leslie F. Varon - Vice President-Finance & Controller: Next question?
Operator: Thank you. Our next question comes from the line of Tien-Tsin Huang from JPMorgan.
Tien-Tsin Huang - JPMorgan Securities LLC: Great. Thanks. Just on the healthcare side. I just I guess heard the incremental $30 million in spend. I guess that was on top of the $20 million maybe last year. So I'm just curious in the hindsight here, is this just – I heard the platform implementation issues you called out. But in hindsight, was it a missed pricing issue just thinking about what went wrong, I get, again, the implementation problems but could this have been resolved if you had priced these contracts differently? And then I just want to pull that forward into New York and just being confident here that you have a good line of sight into the ramp there at the price that you wanted?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yeah. And so if you look at the situation in California which triggered the adjustment that we took this quarter, we had made a decision with the state of California to do this in a staged implementation rather than a single cutover, right, and that caused us to have to basically kind of restage and rework our project plan. As we got into the further details of what that was going to cost, right, the cost for the overall implementation went up. And that triggered us to have to take an adjustment this quarter. So we scrubbed much further what that project plan was going to look like. It's the right answer for the clients and for us to do a staged implementation. It reduces the risk of execution. But at the end of the day, we now understand that it's going to cost more. And this is a contract that was signed years, years ago and in advance of our standard platform being completed. If I contrast that then because you asked about New York, New York is very different because New York we actually bid a standard contract, right. And in addition to bidding a standard contract, we were awarded this contract last May. We started standing up resources towards the end of the third quarter in order to really get us on a right track with New York, so we're very excited about New York. And it's a different situation than I'll say the legacy implementations that we had pre-New York.
Robert K. Zapfel - Executive Vice President, President-Xerox Services: If I would just add on New York, I think the dominant difference is that we were able to bid an already-working system which as opposed to what we did in the other states we hadn't already completed the core software asset. And as Kathy mentioned, we have been in front of the contract being finalized. We have been investing to ensure a very rapid start, which on the other implementations we didn't start until after the contract was signed. So we're very optimistic that we're well positioned to deliver well both for New York and for our shareholders with that opportunity.
Ursula M. Burns - Chairman & Chief Executive Officer: We were focused on making sure that California for sure, but New York very specifically in this conversation starts well and we – before we had revenue, knowing that we were investing before we had revenue, we took that risk because it's really important. The long game here is very important to keep an eye on. And so we took a hit in the quarter for New York as well because we didn't get it signed in the quarter but it's the right thing to do, but we got signed, obviously after the quarter.
Tien-Tsin Huang - JPMorgan Securities LLC: Just – no, that's good to know. Just two quick follow-ups just on the Florida Tolling, I know there were some disputes in the past on that. Is that getting closer to being done? Sounds like it could happen in the second quarter. And then just any client feedback on the ITO divestiture in terms of feedback. Just any update there would be great. Thank you.
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Yes. On Florida, it is getting closer. It is not yet complete, but it is getting closer. And on the ITO, the ITO transaction with Atos, the feedback has been very positive. The consent process that both for the pure IT outsourcing clients and for the large volume of clients that we have BPO relationships with that then Atos will become a subsidiary provider has also gone very well. So we're pleased with that.
Leslie F. Varon - Vice President-Finance & Controller: Next question, please.
Operator: Thank you. Our next question comes from the line of Jim Suva from Citigroup.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Thanks very much. And I know a lot of the question has been on the Services. Seeing how that's the strategy of your company and really one of the key go-forward vehicles, I think it's very appropriate. And so when we think about the new reset to goals of operating margins of 8.5% to 9%, previously you've said your long-term goal is 10% to 12%. Is that still valid? Has that been now you'll have to revisit that altogether? And if so, what timeline should we think? I think most people think of long-term as kind of two years or three years. You can actually reach it. It's not some far-flung dream out there. So can you address that please?
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Well, we're not going to do the – all of the normal guidance stuff for next year until the November conference. But my view is clearly that that long-term goal is still our target. So I don't add. There's nothing that I've – we're disappointed with our operating performance, and we've shared that. But I do not have a view that that's not an attainable long-term margin perspective for us with the set of actions that we're taking relative to portfolio management, go-to-market by industry global capabilities. So I don't expect us to change our view on that.
Ursula M. Burns - Chairman & Chief Executive Officer: And if I may, I'll just add that we're talking long-term in my lifetime. And I mean that really, really clearly. We definitely take a step to the side today and this year, but getting to 10% to 12% is something that we can do in the foreseeable future, in the near-term not in the long-term.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Perfect. And then my follow up is regarding the margins of 8.5% to 9%, am I correct that folds in the New York, the California, the not-yet-closed Florida but likely to close contract? And is there anything about accounting, Kathy, that we need to be aware of like percentage of completion versus booking upfront costs to invest today that have been in a few quarters just the way you recognize the profitability of it in a couple quarters becomes less risky of another disappointment like we saw today?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yeah, so as much as I don't like to talk about accounting on these calls, I'm happy to take a little bit of diversion to do that. I mentioned we took an adjustment for California. So when we're implementing the platform, we are using percent of completion accounting. Right? And in that case, as we got in and did the more detailed planning for the now phased implementation and costed out that more detailed plan, that's what triggered us to take the adjustment in the quarter. That adjustment in the quarter is not all cash that kind of lands in the quarter. Right? That's a software platform that we'll be delivering over the course of this year and next kind of through these stages. So I would call that a pretty isolated adjustment, not the kind of adjustment that we would expect we'd be taking on an ongoing basis. And it's part of the reason earlier I talked about the fact that this area gets less risky for us as we complete more and more of these implementations with the states where we signed contracts three plus years ago. Once we get beyond the implementation, right, then the economics move to, I'll call it, the regular Medicaid transaction processing. Right? And in addition to that, we typically, and even in the couple of clients that we've already cut over with the new platform, we typically have the opportunity to then do add-on things and get additional revenue from those clients, which we have been successfully doing and will continue to do.
Robert K. Zapfel - Executive Vice President, President-Xerox Services: And just on other part of your question, so New York and Florida are contemplated then within the guidance that we've shared.
James Dickey Suva - Citigroup Global Markets, Inc. (Broker): Thank you.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Next question, please.
Operator: Thank you. Our next question comes from the line of George Tong from Piper Jaffray.
George K. F. Tong - Piper Jaffray & Co (Broker): Hi. Thanks. Good morning. A question for both Ursula and Kathy. This last round of investments in Services and prior investments in Services have been predominantly focused on Government Healthcare. Strategically, Ursula, when you think about returns on investment, how do you think about the long-term opportunity in Government Healthcare and when can we begin to see returns from these investments in terms of incremental revenues and profits? And then, Kathy, related to healthcare expenses, how do you think about the staging of expenses related to the New York contract, and in light of potential unforeseen investments, does the updated guidance range build in room for multiple scenarios? And then I have a follow-up.
Ursula M. Burns - Chairman & Chief Executive Officer: Yeah, so the first part of the question is important for you to ask and for us to get out on this call, and just lay a foundation, Government Healthcare is something that, I think, that Bob said earlier, we've been in for more than 40 years. And it is a business that will be around and growing with a lot of focus because of the aging population, regulation changes in the United States, you know, all of the foundational elements. We make, in this business, above average margins. This is above average Services margins in this business. It's important to know that. And that we are very successful and liked by our clients. We do business in many, many states. We service millions of recipients benefit from those states. And it's a very profitable business for us. Once we get past laying down the platform, which is really complicated, and what we did for good, for better, for ugly, but the facts are that we actually implemented a brand new platform in these five states that readies us for the future of aging and new regulation et cetera. It's been more challenging then even I would like for it to be, but it is one that with many – with continuous review we keep coming down on the fact that this is a good business, and a business that can be profitable for sure. It is already in the historic counts and we just have to make it that way in the new accounts.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: And I have one quick add and I'll get to your question with regard to sort of staging on the Health Enterprise accounts. Overall, when we talk about investments in Services outside of our Government Healthcare group, we're investing in things like sales leadership, training, tools, new offerings, this shift to our new industry business group sort of vertical approach in adding leadership in there. So when we talk about investments it's clearly outside of the Government Healthcare solution business as well. With regard to kind of the staging, so clearly the first quarter, we took a big adjustment in California. As I described that's a pretty isolated instance. If I look over 2015 for sort of the pattern of what we're expecting in the Health Enterprise accounts, I would describe this as first half sort of heavy on incremental costs and expecting in the second half that we're actually going to get a reasonable amount of pickup. Now it's still going be a drag on a full year basis. Right? So if you look at the adjustment that we made overall to our margins, originally when we gave guidance back in November, we said we thought we were going to get 25 basis points to 50 basis points largely candidly from these Health Enterprise accounts improving. Right? I would describe that now on a full year basis embedded in our guidance is taking into consideration we might actually see a little bit of dilution overall on our margins for the year. So we thought – we think as we've revised our guidance that we've really taken into consideration that some of these things are tough to call. They're pretty complicated projects. And we need to make sure that we have room if there's any changes and we've taken that into account.
George K. F. Tong - Piper Jaffray & Co (Broker): That's helpful.
Ursula M. Burns - Chairman & Chief Executive Officer: Kathy said in her – sorry – I think Kathy said in her notes that without the health accounts in the first quarter we would have been up 10 basis points in margin. And this year, as Kathy said, we don't – we expected 25 basis points to 50 basis points of improvement so our margin expansion to come from Health Enterprises. As she said again I'm just repeating it, so we can actually get it clear. That will not happen; that 25 basis points to 50 basis points will not happen. It will probably be a little bit of a headwind for us in 2015 not a tailwind. And so the margin adjustment that we've taken for the full company and for Services comprehends that pressure that we're not going to make the progress that we wanted to make in Government Health from a financial perspective. The great news about this operationally is that we are doing fairly well, I think, across all of the accounts, there's some struggles in maybe one, but we're doing fairly well operationally across these accounts.
George K. F. Tong - Piper Jaffray & Co (Broker): Got it.
Leslie F. Varon - Vice President-Finance & Controller: Next question, please.
Operator: Thank you. And our next question comes from the line of Keith Bachman from BMO Capital Markets.
Keith F. Bachman - BMO Capital Markets (United States): Hi. Bob. For you, please. If you could talk a little bit about the new business signings away from New York and Florida, continues to trend weak. And if you could just talk about why you think the new business signings down 26% year-over-year and 17% trailing 12 months. Why they're weak? And what's the plan to try to right that ship?
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Okay. Thanks, Keith. So they're weak for a couple of reasons. I mean, not getting the bigger deals is the primary cause. So you look on a trailing 12-month basis and having – it's not just not having New York or Florida in the compare, but not having anything that's really substantially large deal, certainly hurts those trailing 12 months compares. Going forward, obviously, we expect both of those, New York being finalized, and Florida, that will help our dynamics through the second quarter. And I think in the second-half of the year, the changes that we've made relative to the industry go-to-market model, we have been beefing up the sales force, we're – 90% of the key sales positions now filled. That's up from where we were at the time of the investor conference. We expect to get the improvement in the second-half coming from the industry go-to-market model, the investments that we've made in leadership positions and the investments that we've made in increasing our sales capacity.
Keith F. Bachman - BMO Capital Markets (United States): Okay. The corollary is – or the follow-on question is, are you becoming more concentrated? If you're relying more on the New York MMIS deal and the Florida Toll roads as you look out over the course of the year, it would seem to suggest more concentration. Therefore, if there's any issues in those contracts or other large deals from a profitability, does it put you more at risk for future margin-related issues because, in fact, you're getting more concentration in your customer base without the new business signings?
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Well, I would say that if you look at having two deals of that size in your overall signings portfolio, that is not an atypical level of concentration. So I mean, again, I think the weakness over a trailing 12-month is not having anything big in that set of signings. When we move and both grow the smaller deal component and have those in what's been signed, that would be to me a more typical kind of mix of signings. So I don't think – obviously, when you add big clients, then that individual client is kind of a bigger share of your revenue stream. But from an overall signings mix, no, I don't think a portfolio for the year that would include Florida, New York and then the rest of our book of business would be more concentrated than 2012, 2013 kind of what our historical rate's been.
Keith F. Bachman - BMO Capital Markets (United States): Okay.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yeah. And I would just add onto that, Keith. I mean, if you put those two aside and we just looked at the composition of our signings kind of up until this point in time, I would describe our book of signings as very diversified across our industry vertical.
Keith F. Bachman - BMO Capital Markets (United States): Okay.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: So the addition of these two contracts doesn't really sort of sway things really materially across the portfolio.
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Yeah, both diversified across our industry verticals and across our offering. So maybe wrongly, but this is not a big worry for us at this point in terms of concentration risk of where our signings come from.
Keith F. Bachman - BMO Capital Markets (United States): Okay.
Leslie F. Varon - Vice President-Finance & Controller: Next question, please.
Operator: Thank you. Our next question comes from the line of Ananda Baruah from Brean Capital.
Ananda P. Baruah - Brean Capital LLC: Hey, guys. Good morning. And thanks for taking the questions. Just two if I could, Kathy and maybe Ursula. The first one is, could you list order of magnitude on the $0.05 guide down? How much comes from each of the factors from FX and then from Services revenue and from the cost side of the Services equation? And then I have a follow-up. Thanks.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Okay. So overall, in terms of the $0.05, I would characterize most of it as coming from the additional costs that we're seeing in the Health Enterprise accounts. With regard to FX, if I look at how rates changed, kind of where we are today versus the last time we were on this call in January, the biggest change that we saw was in the euro, which has weakened by about 4%. It was partially offset by the yen weakening, kind of which helps us a little. And so net-net, I would say, that's a negative, but it's not kind of materially a negative. And then I would say, very modestly, a little bit lighter on productivity relative to investment. So how that ramps over the course of the year for us is a little bit lighter. But the overwhelming majority of the $0.05 move is for the additional costs we're anticipating in the Health Enterprise platform implementation.
Ananda P. Baruah - Brean Capital LLC: Got it. Thanks, Kathy. That's helpful. And then to that end, just with regards to the dynamic that you're seeing from Health Enterprise platform, Kathy, you mentioned that the biggest – the best way to sort of handle the situation is just to get the other three stood up and running and normalized. Does that mean that you guys could continue to be at risk? Or I guess what I want to – the way to ask it maybe is, can you provide us the appropriate context of which to sort of gauge, and how you're gauging, what the risk to the cost side ongoingly has given that you still have three that stand up and that the contract...
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yeah.
Ananda P. Baruah - Brean Capital LLC: ...was signed previously?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Sure. We have one that's cutting over later this year, I mean we're pretty close on it.
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Right.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: And so we're pretty close to the finish line on that one. And the closer you get to the finish line, basically, the less risk you have. We talked about California and we made a big adjustment for California. Last year, we actually made an adjustment for the one other state that hasn't been cut over yet, so we had sort of resized what we thought our cost expectations were going to be. So I would characterize as we've already taken a hit on California, we've adjusted the other state that hasn't yet been implemented and we're close on the one that we're going to cut over this year.
Ursula M. Burns - Chairman & Chief Executive Officer: And New York doesn't have the same type of risks. So we think that we've gotten most of the ordinary course of business contract rollout costs associated with the rollout comprehended.
Ananda P. Baruah - Brean Capital LLC: Okay, got it. Got it. Thanks.
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Next question, please.
Operator: Thank you. Our next question comes from the line of Brian Essex from Morgan Stanley.
Brian L. Essex - Morgan Stanley & Co. LLC: Hi. Good morning and thank you for taking the question. I guess I'll pig pile on MMIS for a question. I've seen a number of different comments out in the press about it being on a pretty aggressive timeline. So, first of all, congratulations on getting it finally across the goal line. And then as we think about the schedule going forward and that it may be an aggressive schedule, I guess the question is, how does that timeline compare to, I guess, comparable contracts? And I know you've been pre-spending, but what sort of kind of, I guess, benchmarks do we need to consider going forward, as you finally start to implement the contract?
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Yeah, this is Bob. So let me try to address that. So it is a shorter time line than historic contracts, that's the reason we started investing more than six months into advance. So we – if you measured the timeline from date of finalization, it's shorter. If you measured the timeline from date that we started pre-investing, it's aggressive, but reasonable. And we think that, again, it's a different situation in our view compared to the ones that we have previously done with the Health Enterprise platform because we are starting from a working code base rather than starting from something that was still in design. So it's a – it – while it is a more aggressive time period than you might look at some historical artifacts, the combination of both those two factors, starting in advance and working off an existing software asset, we believe that makes it a timeline that we'll be able to achieve for the state.
Brian L. Essex - Morgan Stanley & Co. LLC: So, Bob, how does that match up with any kind of issues you might have had with previous contracts where you've -maybe you've already had this code base already developed? I mean previously, have most of the contracts been on the application development side? Or has it been on back-end integration? Or what kind of gives you the confidence that in an aggressive time line you can meet those goals?
Robert K. Zapfel - Executive Vice President, President-Xerox Services: Yeah, I'm sorry, Brian. So really the previous contracts we have not yet completed the code base. So there's been a three-year-plus gap between the last one and now in New York. So the book of business that we signed previously, we had some of the code base solidified, but some of it's still, if you will, in design mode. And for New York, it's not as though we don't have some level of customization to do. It's not just taking a software asset and making no modifications or changes to it. But it is largely often existing proven code base that we're running in one of the other states.
Brian L. Essex - Morgan Stanley & Co. LLC: Got it. Maybe I can sneak one in on the printing side of the business. I guess bookings seem a little weak. And I think you've noted on the previous quarter that we're kind of caught a little bit of a product upgrade cycle. I guess maybe can we put that in context of what to expect for growth there through the rest of the year given the product cycle and that there was only a little bit in last quarter, and bookings seemed a little bit light this Q?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yeah, so what I would say is as you look at that, our expectations as we head into the second quarter is that we'll see a little bit better performance overall on high-end. That was weak in the first quarter. It's a place of, I'd say, generally strength for us from a product offering perspective and we also have other new products coming out in the second half in that area. And we certainly expect, as I mentioned in my prepared remarks, that Entry's going to continue to be weak. We expect it'll, I'll call it, modestly improve with new products helping but it's a big DMO-centric area. And DMO markets just continue to be weak economically.
Leslie F. Varon - Vice President-Finance & Controller: I think we have time for one last question, please.
Operator: Thank you. Our final question for today comes from the line of Kulbinder Garcha from Credit Suisse.
Kulbinder S. Garcha - Credit Suisse Securities (USA) LLC (Broker): Thank you. I know this has been asked in different ways. I just have a broad question on Services which is, if we go back over a long period of time, I think once upon a time Xerox stock just might...
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Kulbinder, Kulbinder, I think you need to speak up. It's very difficult to hear you.
Kulbinder S. Garcha - Credit Suisse Securities (USA) LLC (Broker): Hi. Can you hear me now?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yes.
Kulbinder S. Garcha - Credit Suisse Securities (USA) LLC (Broker): Hello?
Kathryn Mikells - Corporate Executive Vice President, Chief Financial Officer: Yes.
Kulbinder S. Garcha - Credit Suisse Securities (USA) LLC (Broker): Okay. Sorry about that. My question is over a long period of time Xerox once thought this Services business could do margins of almost 12%. We're a long way from that now. And I guess just is there anything more structural at hand here over the longer term competitive or otherwise, and is there any more kind of deeper strategic view going on so that we don't have these kind of continuous issues whether it's been a gradual step-down over many years, like whether it's addressing the cost base, rethinking the strategies, any of that going on? Or do you see this very much as just a kind of a normal onetime hit in 2015 from the Enterprise Health accounts? Many thanks.
Ursula M. Burns - Chairman & Chief Executive Officer: So, Kulbinder, it's a good question. I think a good last question as well. We obviously spend – leadership team, the board, we spend a lot of time looking at performance versus strategy to make sure that the loop is continually closed, and that we are on the right stack of mail. Separating operational challenges are we on the right stack of mail for 10% to 12% margins, revenue growth overall, and being valuable to our clients. And the answer is, yes. We still believe that the fundamental strategy of diversified Services portfolio globalized, which we are still working on doing, that's supported by a good level of acquisitions in the areas that we're in. We are doing portfolio management and trimming out things that we're not great at and investing in areas that we're really good. That strategy still holds. Document Technology as a good cash generator, good base for us to grow Services from. Also that strategy still holds. So I think with – we look at it all the time. We look at it against our financial goals and against our capabilities. We can get to 10% to 12% margins for sure. Government Healthcare is a place that we have to continue to focus and continue to improve. And hopefully not talk about a whole lot as we go on. We have to just get this stuff behind us. New York, we think we have a good start. We have these five contracts et cetera, et cetera. So Government Health is the place that we're spending a lot of time on this call, and rightfully so. But the rest of the mix of the business that we have in the remainder of the strategy is one that absolutely still holds water and still works for us. And so – and I think it will work for the shareholders over time and that's what we're focused on.
Ursula M. Burns - Chairman & Chief Executive Officer: With that, I think I can actually transition to a close. And let me just thank all of you for taking the time to ask questions and listen to the call. We're working hard to advance our business objectives in 2015 and beyond.
Leslie F. Varon - Vice President-Finance & Controller: Thanks, Ursula. That concludes our call for today. If you have any further questioning, please contact me or any member of our Investor Relations team.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a good day.